Operator: Good morning, and welcome to Cadeler's 2024 Annual Result Report Presentation. Presenting today are Mikkel Gleerup, Chief Executive Officer; and Peter Brogaard, Chief Financial Officer. Please be reminded that the presenters' remarks today will include forward-looking statements. Actual results may differ materially from those contemplated. The risks and uncertainties that could cause Cadeler's results to differ materially from today's forward-looking statements include those detailed in Cadeler's Annual Report on Form 20-F on file with the United States Securities and Exchange Commission. Any forward-looking statements made this morning are based on assumptions as of today, and Cadeler undertakes no obligation to update these statements as a result of new information or future events. This morning's presentation includes both IFRS and certain non-IFRS financial measures. A reconciliation of non-IFRS financial measures to the nearest IFRS equivalent is provided in Cadeler's Annual Report. The Annual Report and today's earnings presentation are available on Cadeler's website at cadeler.com/investor. We ask that you please hold all questions until the completion of the formal remarks, at which time you will be given instructions for the question-and-answer session. As a reminder, this call is being recorded today. If you have any objections, please disconnect at this time. Mikkel Gleerup, you may begin.
Mikkel Gleerup: So good morning, good afternoon, and good evening, and thanks for listening into our presentation, the Annual Report 2024. Very, very pleased to be joined by all of you and looking forward to go through our annual results from 2024. So that's a disclaimer. I would recommend everybody to read the disclaimer at a convenient time, but we will dive directly into the 2024 highlights for Cadeler. So in 2024, we had very strong financial performance and we believe that it was consistently strong through the year and that we were able to narrow the guidance that we had for 2024 in our Q3 presentation and also as we have now shown in our final results, that we are at the upper end and actually above the upper end on the EBITDA. We also give a guidance for '25 that shows that we are on our trajectory for the growth in 2025 and as such are very pleased with that. In terms of our newbuilds, we have delivered Wind Peak in 2024 on time and on budget and we have also in this year, in January 2025, we have delivered the first M-class vessel from Hanwha on time, on budget, and are also at a point where we can say that we are on track to deliver the remaining vessels on or ahead of time target, on budget. And we are, I would say, within hours from delivering the next vessel, which will really put us to 50% of the 2025 deliveries completed. In terms of our backlog, we continue to build the backlog, and we will go more into that in the presentation itself, but we are now standing at a backlog of EUR2.5 billion as of today. We have also in 2024 been executing our projects incredibly well and we are highlighting just one project here where we are saying that we also included -- we installed successfully the 60 14.7 Megawatts Siemens turbines on the Moray West project. The reason behind this is that it's the first project installation in the world for this platform from Siemens, a next generation turbine. And we did that with one of our O-class vessels with its new crane. So very proud of that performance and the team behind that project as we are with all the projects that have been executed during 2024. Very strong balance sheet remains. We have refinanced the M-Class facility on what we say is materially improved terms, and we have increased our capacity on our unsecured HoldCo facility and we have also extended our revolving credit capacity and raised equity to fund our third A class order. So we are very, very pleased overall with the year, and we'll go more into the detail now. So on commercial highlights, I think that most of the people that are following the call know what we have been doing during the year, but we have been installing on Orca on the Moray West. As I said before, the first installation of the 14.7 megawatt platform then followed up after the completion of that with the O&M. We have also on Osprey, we have completed the Goldwind and Borkum project for Orsted, including a release of the vessel from the project to go and do O&M for one of our clients on a different project, which is really something that is also important for the overall way we operate with our clients in the industry and show flexibility in the fleet. After that completion of the project, we also started to do O&M with the vessel together with one of our clients. On Scylla, we started the year with a big overhaul project of the vessel because we knew that she was going to the U.S. and hence we wanted to ensure that the vessel was up to a very, very high standard before arriving in the U.S., due to the complexity in doing any maintenance when we are over there and really preparing the vessel for a very strong performance on Orsted's Revolution Wind project. On Zaratan, we completed the Yunlin project and also then started to do an O&M phase with the vessel and also pleased to say that we have also secured a significant portion of the year on Zaratan for 2025 on continued O&M services. On Wind Peak, delivered on time, on budget, transited back to Europe and immediately after coming back to Europe started an O&M campaign for an undisclosed customer. And the Wind Maker, the first M-class vessel from Korea delivered in January '25 on budget and then transiting to Singapore for mobilization of the project equipment and now in Taiwan ready to start her first project on time. So I think in summary, really on time delivery of assets on time, delivery for projects, but also a lot of O&M work out there. If we look at this slide is one we have shown before in connection with these presentations, and we will just see that these numbers are growing. So we have installed more. We have installed more foundations, more turbines, we have more vessels operational, we have fewer on order because we are starting to deliver and we are growing the team, not only the team in the office but also the team of offshore crew that are taking delivery of these assets and ensuring smooth operation after having either been trained internally with Cadeler or have been shipped from a Cadeler vessel to one of the newbuilds. So in general, very, very pleased with how we have also been able to build the team and continue to deliver for our clients. Cadeler today is positioned in the worldwide map for offshore wind installation as the leading pure play T&I company. We continue to work very closely with our clients and partners, and we believe that with the orders we made back in 2021, the merger, we have completed the following orders. We are incredibly well positioned and are very, very pleased with the platform we have built, and together with our clients, we will continue to secure strong utilization on this platform and making sure that we can build as much renewable energy as possible. We are very much focusing on the European market. We will show a little bit later in the presentation how strong the European market remains and we are seeing that the European market is continuing to be really the driver of offshore wind in the world. And this is also where Cadeler has been focusing most of its efforts. The Asia Pacific market is also very busy and we do see that for us, the market really consists of Taiwan, Japan, Korea as the key markets, with development in Australia as well and other countries that are also building what could at some point in time become a pipeline. Asia for us is a market that is today strong enough to have an asset in the market and to ensure a pipeline of projects. And that is really what we have said all along, that when there's a market that is strong enough to build up a pipeline, then Cadeler will be there with a capable vessel to support our clients. The North American market has, of course, received a lot of attention since the American election in November 2024. And I would say that we remain of the same view as we have had all along. This is a decision that was made pre-COVID where we said that we are taking a cautious approach to the U.S. market. We take a project by project approach where we need to see that the project in its own right can basically support itself, both on terms and conditions, financials, and also overall engagement with our clients. So there are political headwinds in the market, but I think in the short term the market remains attractive. For Cadeler, we have documented that by also having the next newbuild that is delivering, heading straight into the U.S. market to work. And that marks our third contract in the U.S. market and really the third project we will work on in the U.S. market and where we believe that we have a very strong cover on terms and conditions and also very, very sound financials on the projects. We remain having a relationship with Dominion Energy that we support, and of course, we'll continue to do that for their benefit as well. In the South American market, we are building relationships because we do believe that the South American market has some fundamentals that are interesting. But again, we are not jumping the gun or anything like that. We are remaining, let's say, as an outside in view on the market, but building the necessary relationships to react should the market suddenly have a pipeline of projects that need services like the ones that Cadeler are offering to the market. In terms of how we see the market at the moment and how the pipeline is growing, we do see, as I said before, that the European market is really the growth. We see an enormous amount of projects that are currently under discussion with our clients. Everything from final stage tenders to final stage negotiations, open tenders, and commercial discussions with clients, but really a lot of activity. And I will go as far as to say that we have probably never been as busy as we are in the European market. Asia is steady state, and we remain of the same view as we had when we presented this a year ago, that Asia will be able to form a pipeline of projects for at least one of the assets out there. In the U.S. market, we are probably more active than most would probably think. But there is, of course, an urgency at the moment in the U.S. market to complete projects, and we are doing our utmost to support our clients and partners in that market to ensure that projects are completed as close to on time and on budget as possible for them. But we do see increasing demand in Asia as we expected that the region would ramp up in these years. Europe remains really as the driver of the offshore wind market globally. And also an increasing, or let's say continuing development in terms of longer term agreements with our clients, where we see, especially amongst the biggest of our clients, that they are to a greater extent requesting long term agreements. The backlog today stands at more than EUR2.5 billion and that is a growth of 47% since we did the annual report on 2023. I think what is worthwhile noting on the backlog today is that 94% of our backlog has final investments. This of course really what matters. We have talked about it before that there is this period of time from selecting a project that we are working on to having a Vessel Reservation Agreement, getting contract on that Vessel Reservation Agreement, and then a final investment decision by the client. That is really the process that is important to follow and really to better the projects that are having the highest likelihood to reach that final investment decision from its original development stage. And I think that our percentage of projects in the backlog with final investment decision is a testament to that strategy at least and really being selective on which projects we are working on. As we have said before, we are not including Vessel Reservation Agreements in the contract backlog, and they will be added when they have reached the maturity stage, as we have discussed in the past. In addition, talking about what it is that we are adding to the backlog, we have added an all-in project to Zaratan where we are starting -- I actually think there's a mistake here. It says Q4 '25. That is not correct because we will be installing for a last part of 2025 on Zaratan in the market and very happy to see that we continue to build strong O&M projects on Zaratan. In terms of the O-class and the P-class, multiple wind farms, again, five O&M projects and really looking into more and more O&M projects, filling out the white spaces between the installation projects. And on the Wind Pace also an O&M project where we are seeing the B-class needed for a project in the U.S. and also securing utilization from its arrival back in European waters and until delivery to the first installation project. We also continue to have a strong development on Vessel Reservation Agreements, and we continue to see a very strong demand for our services amongst our clients and also especially as we have discussed before with our investors that the redundancy that we can offer to the clients, that is something that the clients continue to see as a benefit and something that they really want to explore more with us and different ways of offering the assets to maybe not only one project to a range of projects rather. As I said, the O&M we do see the O&M space as a continued strengthening factor in the market with a bigger, bigger installed fleet of turbines out there. We see also that both the developers and the Turbine OEMs, they are requesting our services to make sure that the turbines are continuing to spin out there and generate renewable energy to the people. And for us, we have tried to be as flexible as possible and to really ensure that the vessels, they are available to our clients for these services as much as possible. And we have just tried to show you here a snapshot of how we do it where we are adding O&M campaigns in between the installation projects which all in all ensures a very high utilization level on the vessels and we will continue to see that going forward, but also an overall improved financial performance in the company along the lines of what we have discussed in the past where we are saying that we are aiming for very high utilization on our ISS. We also celebrated the Wind Pace naming ceremony. This is the second vessel from Cosco Qidong shipyard and we were out there on the 12th of March where we named the vessel and again a vessel that I would have say some of the lessons learned we had from Wind Peak has been incorporated on Wind Pace and we see that the yard continues with a very, very strong performance. We are ahead of schedule with the delivery of Wind Pace, and as I said in the beginning, we are more hours away from delivering than we are days from delivering and that is of course, very, very positive. So strong performance from the yard that deliver ahead of schedule and we do see that also for the follow on deliveries from the Chinese shipyard. In terms of the next vessels that are coming from Cosco Qidong. The wind Ally has already been launched, has already been sailed out of the dry dock, and are being now outfitted alongside. We had the benefit when we were out for the pace naming ceremony we could see Ally as well just a few hundred meters down the same yard and that is really important for us because the Wind Ally is the project, the vessel that we go on the Hornsea 3 project and the long term agreement we have in our pipeline with Orsted. So we're really important that we are following the building schedule there and on Wind Ally, we are significantly ahead of schedule already in terms of delivery. On Wind Ace, the second A-class, we have also had the steel cutting ceremony and we have some pictures from that and the same for Wind Mover as well. If we look at the overall track, we are seeing that on Wind Ally we are at a very, very high completion rate at the moment, and we are looking to take the vessel on sea trials around the summer this year. On Wind Mover, also strong performance, we are set for delivery in Q4 '25 and on Wind Ace we are looking still at Q3 2026 and Q2 '27 on Wind Apex. So overall, very strong performance on the newbuild program. And as I said, in a very, very short time, we have delivered 50% of the newbuilds in 2025, which I believe is a very strong performance. And as we have shown you before, the fully delivered Cadeler fleet, 11 vessels consisting of a smaller unit that will focus mainly on the O&M segment, vessels that are focusing on turbine installation, and vessels that are focusing on foundation installation. In terms of synergies, we are continuing to deliver on our synergies from the merger and we are saying that we are approximately at 30% of the 2026 targets. But the follow on synergies are really starting to materialize now with the new vessels being delivered. We continue to be optimistic and positive around delivering the synergies that we discussed already at the disclosure of the business combination agreement in June '23 and believe that the two entities now working as one will deliver these synergies. At this point in time, I will hand over to Peter for a deep dive on the financial results. So please go ahead, Peter.
Peter Brogaard Hansen: Yeah. Thank you very much, Mikkel. This is a key financial highlights for '24. You can see revenue doubled from '23 to '24. SG (ph) ratio went a little bit down, but still very solid balance sheet. The reason for it is of course, that we are drawn down on our loans when we're getting the vessels delivered. Utilization was 83% adjusted and now we saw -- I think it's for the first time, we saw both an adjusted and unadjusted utilization and the utilization which is adjusted, that is where we adjust for planned dry docking, oil fire, and for transit from the yards in China to Europe. So that gives a better number of what kind of utilization do we have on the vessels that we have operating. The reason why we see also what obvious is that Zaratan due to the Taiwan waters they operate at a slightly lower utilization rate. But I think still a very good result with the O-Class cranes upgrades in Q1 '24. Market cap is EUR1.7 billion, EBITDA EUR126 million, tripling the level from '23 very satisfying but also shows the scalability in the -- in our business that we are able to triple EBITDA while revenue is doubled. Cash flow from operating activity started at 93, and as Mikkel said, backlog is EUR2.5 billion. Three months daily average turnover is EUR6.8 million. I think what you cannot see from this slide with these financial numbers is that there's also quite an achievement on the SOX compliance side where after one year of SOX compliance, we are delivering an annual report without any material weaknesses or significant deficiencies in our internal control framework over the financial reporting. I think that is quite remarkable. For Q4, we saw revenue going significantly up. Please remember that we have in Q4 '23 low class crane or low class vessels were up for crane upgrades. Hence, there was a lower revenue in '23 on the fleet. And of course this year, we have also full quarter we have Zaratan and Scylla adding into the numbers. So we had a number of cases. We had five as compared to four but in '23 we only had nine days of legacy energy in the financials. EBITDA significantly up, EUR55.7 million in a quarter, which is a solid number. We see SG&A costs also higher, not significantly as compared to '23 because we also had some non-recurring costs due to the merger with Eneti but we see costs going up as we ramp-up the organization. Full year again EUR249 million as compared to EUR109 million, full blown consultation with the legacy. Utilization rate 66%. Again Q1 without the O-class vessels, I think it's solid. And also with the Wind Zaratan vessel which carries a lower utilization rate than the other. So 83% adjusted is quite good. Cost of sales are, of course, increasing with the number of vessels you can see that the vessel OpEx is more or less the same as last year. The business OpEx that we show here is without the project costs included. So with that we have communicated several times that is around 40,000 same also with the project cost into the role is contained, but to compare without that it's more or less the same as last year. Income tax expense. It's a small number, EUR2.4 million for the full year. It is under UK tonnage tax in the UK and the Danish tonnage tax regime in Denmark. So the fleet is covered by tonnage tax to a very large extent. But we are paying some taxes on the Taiwanese projects, and we have some deferred taxes being expensed on Zaratan, which is the Japanese owned and under Japanese corporate income tax. EBITDA, solid improvement from EUR42 million to EUR126 million. If we look at the outlook we had out in the market from Q3, revenue is in the middle of the rates that we communicated EUR243 million to EUR253 million, and EBITDA in the up or end of the range little bit north of the offering of the EBITDA we had there. Of course, driven by the increased revenue. SG&A and other expenses, EUR55 million. We are continuously ramping up number of employees going up in order to be able to have the support to drive especially the foundation projects, both for the center and for the foundation projects, but also on the execution of it. So we see cost coming in now, whereas revenue coming in in '26 and onwards. So that is an investment. Balance sheet continues to be very strong balance sheet that we have. It's not of much of here. But goodwill is still EUR17 million from the PPA. When we did the merger with Eneti that means that we have not -- that is closed now. It runs for 12 months where you can adjust the takeover balances. And we didn't see any surprises in the balances that we took over from Eneti. So that is really also good news to be able to maintain that. So we still have the EUR17 million of goodwill. Non-current assets of course going up with the additions of vessels and investment in the newbuilds, and equity goes up with energy raise we did a year ago and with the result for the year. The payments program. Now you can see that we closed the A-class financing. We did that last Friday, and that was with a EUR450 million facility plus EUR70 million remaining in missing equipment. So that is we possibly try to be ambitious and improve the loans that we have with our lenders. And we agreed with the strong support we have from lenders that we could put in also financing of mission equipment for the first project that the A-class vessels are going into and also pre-delivery financing on the Wind Ace. So at this similar price but better terms and conditions. So now we have only outstanding the third A-class vessels with the Wind Apex. We expect to be able to sign commitment for that for EUR240 million and the vessel is delivered in '27. So it's really not meaningful for us to bundle that with the A-class vessels and then secure that financing yet. Because we then go to commitment fees for a rather long time and we are not concerned about building financing for that. So, we have shown this slide many times. But I think it's obvious that we have the funding in place and it is committed most of it. We have the funding committed in place for the CapEx program that we are looking into. And even with significant surplus we have hit 50% of the U.S. dollar exposure. Last part of the remaining installments to the yards are in dollars, and we have hedged 50% of that. I think which has been beneficial for us. And with the recent weakening of the dollar, then the chemical program is actually lower now than it was at 31st of December when the new seller was stronger. But that is of course, something that can be -- that goes up and down as the time passes. So yeah, news is the A-class financing. We have utilized the M-Class in transfer when Wind Maker was delivered in February, and we have requested the trans for the Wind Pace which is going to be delivered here in March. This is the financing overview chosen committed EUR1.9 billion. We have utilized ERUR586 million but since where this is from we have now utilized the case part of the P-class facility and half of the M-class facility as well when Wind Maker was delivered. Then the last slide is the full year outlook for '25 and you can see the edges here. But the outlook is for revenue EUR485 million to EUR525 million and the EBITDA of EUR278 million to EUR380 million. I think what is worth to notice is, of course, it will be impacted by timely vessel deliveries. We have already seen delivery of two vessels, so mitigating some of that risk then it's sequencers and being deployed, and we have signed a contract for that. And then there is, of course, some timing in a business like ours when we move from, being TCE business, that is it's easy to plot into an extension to become more project based, more foundations. So we would like to put your attention towards a couple of non-recurring items. I think even though we had a very, very strong result for '24 with a EBITDA of EUR126 million actually there was a project cost to the tune of EUR2 million being pushed into '25. We have six extra crew on the legacy Cadeler license in order to train the crew for the newbuilding’s and that is -- that will amounts to EUR4 million in the -- sorry about that. Some technical issues here in our end. So that amounts to EUR4 million. That is also an unrecorded asset. So there you have EUR6 million, you could say which is impacting the '25, but it's non-recurrent or an investment in the future and not really impact the business case. And then also what the last bullet point here is a value across from basic products that started to be recognized by us [indiscernible]. And by that, we mean that some of the T&I scope on the Hornsea 3 is already starting in '25. But as we have talked to many times then the T&I -- some of T&I scope that it's not the vessel and crew itself carries a lower margin and that starts in '25 and then it comes in with a lower margin in '25. But it has nothing to do with the total profit of the project over the project period. But something you should be aware of. And also we have as I said, we have ramped up the organization and continue to do that because we want to be able to develop this foundation business. So where we before have said we are around EUR60 million in the SG&A, we will be around EUR70 million to EUR72 million in SG&A going forward. So that means EBITDA in this range, which I think is pretty good when you look at such a transformative year with four vessels being delivered and starting executing on the foundation projects. And back to you, Mikkel.
Mikkel Gleerup: Thank you, Peter. And I think that we can definitely say that from our experience now that the annual report that is being delivered here is really a company performance with all the SOX controls and all of that. But also really good to see that we are now starting to execute on our first foundation T&I project. And obviously, as Peter said, the bulk of the benefits comes when the vessel starts to install. This is where we see that these projects really start to be meaningful for Cadeler. But good to see that we are starting the projects and that we are on time on these projects and ready to really -- make really an impact on that project as well and the following projects In terms of sustainability also to bring your attention to that, that of course bring that is a very, very important point for Cadeler. Obviously, working in renewable energy, being a pure play company in our industry, this remains really central to us. And we have in the period since we last reported, we have promoted our sustainability manager to Chief Sustainability and Performance Officer in the company and lifted her up to the senior leadership team. We are expanding the team because we do believe that there's a lot of benefits for us as a company in really being at the forefront of this curve and also working with our clients to continue to develop strategies of how to minimize our own footprint. We have also surpassed the target for female representation on our Board but also in our leadership positions, which is something that we are proud of. But I would also like to say that, that process is not a tick mark exercise. It's really because we believe it gives us a better and a stronger company with better results at the bottom line to the benefit of our investors. We have also done a human rights impact assessment in 2024 and really providing a human -- writing a roadmap to strengthen our human rights management. Also something that we see more and more of our clients focusing on and hence better to be where we need to be in that. So we make sure that we can deliver what our clients expect as well and also what is right for the world. We also implementing an electronic screening tool to strengthen our supplier due diligence which is of course, important. Also when we go into these T&I contracts and foundations where we are having much more selection of suppliers that are supporting us on these projects. We have also the first year CSRD compliant, and we have submitted the Sustainability Report eligible for EU taxonomy and first year alignment. And we have also carried out the double materiality assessment which are all really, really big jobs. And I have to say that as with the SOX controls and the CSRD report, really, really important that we have made this but also a huge, huge effort by everybody in the team, and really thank you to everybody in the team for having worked so hard on all of this. It has also been in 2024 and in Q1 '25 a lot of interesting things going on. We have done testing of biofuels on board one of our vessels together with our clients, and we are working on the expectation of really being able to increase the green offering to our clients in terms of -- in 2024, in terms of -- sorry, 2025 in terms of these learnings we have from some of this, and we have also signed an LOI for a methanol -- e-methanol offtake from 2028. We do take this very, very serious. And we do believe that the clients that are taking this series will be set for success in our industry because at the end of the day, if we don't take this serious in renewable energy, who should? So we are really trying to be doing the utmost for what is right and also to continue to explore new solutions. And that is also what we are looking at in the second bullet here. Really we have launched these dashboards on our vessels where we really can analyze in real time how the vessels are performing and what is the right solution together with the clients. So we don't just take a standard solution which is return to port as fast as possible. Really, really try to see what is the best solution for the current schedule we have. Also around training with the crew, we believe a lot of the saving will come from behavioral initiatives and that is something that we continue to work on with also with all the new crews that we are getting into the company. And then also shore power upgrades on the O-class vessels so we can utilize shore power to the extent that it's available to us. We also set scope 3 targets for production for 2035 and also calculate and report on the life cycle assessment in the scope 3 environment. In terms of our path to net zero, we are of course starting with an increase because we are adding a lot of vessels to the fleet and that means that our overall emissions are increasing. But we are setting ourselves up to decrease this. And by all the things that we are doing, we are really attempting to be having a very ambitious strategy of how we bring our footprint down and ensure that we can deliver what we do believe that the clients will expect from us in not a very distant future. And the three key decarbonization levels are optimizing energy consumption, adopting green fuels, and really enabling electrification. In terms of continuing the growth journey, as I said in the beginning, if we look at the markets, the European market continues to be the very, very strong market. Asian market is also very interesting and the U.S. market is still, as we have said in one of the previous presentations, the peel on the orange. And we are interested in the U.S. market, but we will continue with our approach to that market that it has to be the right decision for that one project and that is how we will continue in the U.S. market as well for now. When we look at the future turbine installations by capacity, we do believe that and see also from the tenders we are involved in and from the projects we're winning that there is a trend towards bigger turbines and that is something that is good for Cadeler. We have a fleet of the most capable assets in the industry and hence we are able to supply our clients on bigger turbines with the installation services that they need. In terms of other things we have talked about before, and we continue to see these trends, is that the distance from shore on the vessels continue to increase. It is pretty spread out, but the trend line is clear. It continues to go up. That is good when you have the vessels in the industry that can carry the most payload. At the same time, in terms of water depth, we also see that the water depths continue to increase and it's also spread out. But the trend is very clear, and that is very important because this really discusses also these two metrics. How many of the legacy assets will be able to compete in the future? We don't disqualify any, that is up to our clients to do that. But we believe that the overall supply in the industry is probably lower than most analysts currently have in their models. In terms of the continued growth, I think that our focus is really around the transport and installation scope and the O&M scope, where we continue to grow the company with the vessels we have in the fleet. We believe that we have a very, very strong platform and a very strong foundation. And with these assets, we are able to continue to work closer and closer with our clients. And by doing so generating more work on these vessels, but also on the contracts we have already secured. We do see clients that are approaching us for discussions around additional scope. Whether it is managing sub-suppliers from their side or whether it is additional testing pre-project that is beneficial both to us because we kind of like get to tie out the equipment before we get to the real project execution. But the same does the client or really, supporting the clients in the overall management of a project. And that is something that we are seeing and really where we believe that the business model has room to expand and to take more scope for the client based on the very, very strong platform and foundation we have built. And we see that that is an enabler for us as a company to continue to work closer with our clients. We have said it before, we focus on partnerships. We want to have the long lens in focus with our clients. So we are talking to our clients more and more about branches of projects, projects that are further out. We are discussing installation projects now also out in to 2030s. And we are talking with a very wide range of different equipment, different geographical locations, and also different ways of doing projects with our clients. And we really believe that that is the partnership that we want to form with our clients. And as we have said before, we are not concerned about utilization at all. We believe that the narrative is stronger than the reality in the industry at the moment. But what we see internally and what we have shown you on these slides here is that we are incredibly busy, busier than ever and working closer with our clients. We believe that we will continue to focus on what we are good at. And that is really deliveries, not only deliveries of assets, newbuilds and all of that but also really delivering the client's projects. Because at the end of the day, that is what will form the successful journey for the company going forward. Continue to deliver for our clients and offer the clients to do additional scope if they need us, and a partner to do that. In terms of the O&M market, we have discussed this at length before, but we do see an increasing demand for major component replacements on the turbines. There's a growing fleet of turbines out there and we are installing more turbines every day. And hence this opportunity is something where we would love to support our clients. Because of course, if you install a lot of turbines, it's important to keeping them spinning. And that's something where everybody in the industry is in the same boat, both the developers, the OEMs, and us as contractors. And we need to make sure we have solutions ready and in place for the turbines when they do need major component replacements. And for us, we can see from the previous slides that we are able to build white spaces. Most of our assets had O&M work during 2024 and in 2025. And that is an area that we as a company want to focus on because at the end of the day, it ensures very high utilization and hence overall improved economy for us as a company. And then it's also important that we work close with our clients. We have had meetings recently with our clients also where we are being asked to support them in the O&M journey of the industry and also for them as companies. In terms of what it is really, as we say, growing as the number in nature of operational turbines increase and the defects materialize, we do see increased tendering activity also on longer term contracts with our clients. It varies a lot, but we do believe that it's a space where we are adding a lot of value to clients, both the developers, but also the turbine OEMs. And that is something that we are focusing on. We are a company that are here to work on relationships and partnerships and we believe that O&M is one of the very strong levers to really make sure we do that. And it needs focus. That is what we can say. I think that we see more and more that the O&M campaigns, they are dealt with by individual teams on the client side. And for us, it's important to be able to respond to their demands when incidents occur where they need our support. And then also we need, of course, to work on the cost side of the mobilization, because that can be a driver for whether O&M will be done or not done. And that is why we are at the moment looking at the innovative models for vessel mobilization to make sure that we are as nimble as possible supporting our clients in this space. So in terms of the investment highlights in the overall Cadeler case, as we say, we have the largest, most capable, and most versatile fleet in the industry. We believe that the complementarity in the fleet really enables a lot of cross fleet utilization, which will drive very, very high utilization and efficiency for our clients, but also project derisking for our clients. Our team continues to grow and continue to build experience both on people that have been with us for a long time and people that have not been with us for that long. But we continue to see that we can recruit and retain the critical know-how and skill that we need to continue to grow our company. And the relationship that we are building with our clients and partners is something we still hold incredibly dear in the company. We believe that we have a global platform now where we can continue to really benefit from the enabling capacity and factor that our industry leading fleet has. And we still see an undersupply of capable assets, as we have discussed before. And that is really around some of the metrics that we discussed in this presentation, where we do see that the distance to shore, the carrying capacity of the vessels, but also water depth and sheer size of equipment that we are installing will mean that some of the legacy assets will be struggling to efficiently compete in the industry going forward. And then we believe that we have a very strong track record now, but also a record high backlog that has gone up significantly since we reported last time, today is standing at EUR2.5 billion. And we do believe that that provides a lot of earnings visibility with a 94% final investment decision on our backlog. I think that that is very, very important for our overall case. And then, of course, as we have said for a long time, we really want to be a good custodian of capital and hence have focused as we have strong utilization, strong backlog building, and very strong execution. With that said, we are moving into Q&A.
Operator: Thank you. [Operator Instructions] Our first question will come from Martin Huseby from DNB. Please go ahead and ask your question.
Martin Huseby: Thank you. First, a question on the O&M market, such demand has scale been important to fill gaps and keep vessel utilization high for '25. But could you also talk how we have seen any changes from your clients related to secure access for such vessels into 2026 and also beyond? And also what type of contract economics are you seeing on O&M work?
Mikkel Gleerup: Yes. I think we have discussed it before with investors that we do see an increasing contract economics profile on the O&M projects. It of course can vary a lot because you can have very short term opportunities and you can have longer term opportunities as well. But we do see that it is very strong and it is very similar to the installation market at the moment because the O&M business at the moment is, I would say, arguably struggling with the same a supply demand equation that we have seen in the installation market. So we are seeing that many of the clients are discussing longer term commitments, frame agreements, but also let's say overall support structures from companies like ourselves to key O&M, but also to more feedback O&M on their platform. So we believe it is an area that needs more focus.
Martin Huseby: Good. Second question on newbuilds. So the industry had quite a high number of newbuilds ordered back in 2020 and 2021 and even into 2022. While there's been quite or there's not been too many newbuilds ordered in recent years. Can you talk a little bit to what prospects you see for the industry to add more newbuilds and also how do you see newbuilding prices and delivery times developing?
Mikkel Gleerup: Yeah. I think that deliveries are challenging at the moment because I think that the amount of yachts that can complete a newbuild like this is certainly very limited. And some of the yachts that can do it, they are focusing elsewhere and hence not willing to bid on projects like these. And that means together with many other factors that the prices have gone up significantly. And we speculate at the moment that the prices are somewhere between 30% to 45% higher than when we ordered in 2021, the P-class vessels, which of course makes it a, let's say, a different environment to all the vessels. And at the same time, my view is that it's probably as hard as it has ever been to go into the boardroom and ask for capital to order new vessels because if one does not have an active name in the industry, it is probably hard now with the challenges that the industry have been through with lack of deliveries on projects, but also current narrative and very, very high prices and arguably longer lead times than we saw back in the days. So I think it is a challenging environment to have newbuilds in for most companies.
Martin Huseby: Thank you. I'll turn it back. Thanks.
Operator: Our next question comes from Jamie Franklin with Jefferies. Please go ahead and ask your question.
Jamie Franklin: Hey, guys.
Mikkel Gleerup: Hi, Jamie.
Jamie Franklin: Hey, there. Thank you for taking my questions. So firstly, I just wanted to ask on 2025 guidance. How should we think about the moving parts in reaching the top end of that range? Is it primarily a function of timing for the remaining two newbuilds due this year? And then just kind of follow on question from that. So your first newbuild for 2025 Wind Maker was delivered in January. That was obviously on the early side of the targeted 1Q '25 delivery. And now you've said that your second newbuild this year Wind Pace is scheduled for delivery imminently versus a previous target for 2Q '25 delivery. So just trying to get a sense of what your base case is for delivering the next two vessels. Should we assume it is the midpoint of each quarter that you have outlined? Thank you.
Mikkel Gleerup: I think we will just keep the delivery to the quarter for now. But of course, we indicate that we believe that the Ally is somewhat ahead of schedule in Cosco and that we believe that Mover will deliver as we have discussed in the past. I think that there are of course, still some moving parts in the overall year, but a lot of let's say, the utilization capacity has been locked down already. So on Zaratan, as we discussed, we have locked down a very significant portion on O&M, but there is room for more if that is available out there in the market. And we do believe that there is opportunity out in the market for that. And as I also discussed during the presentation, we are at the moment also in a situation where we are discussing certain options with clients in terms of delivering additional scope on projects and that can also impact the year. So we believe that we had a good point with the guidance. We are at a place in time and where we're at the junction in the journey, where we want to be, and also where we expected to be. As Peter explained in his presentation with these foundation T&I contracts, a lot of the services that are being delivered, we can say that the difference between the income and the cost curve is lesser. And then when we start installing the foundations, then it opens up those two curves because at the end of the day, that is really where we are starting to see the meaningful impact of the foundation C&I project when we start to put the foundations in the water. So it is a function of, let's say, time and also solid execution and then continuing to keep a very strong focus on the front end of the business making sure that our clients know that we are here, we are able to support them if they need us with anything. And I think the team overall, the whole team has done incredibly well in ensuring very strong utilization, strong execution, strong reporting, strong everything, so very, very, very pleased with how the team has gone through '24 and how we have already entered into '25 as well.
Jamie Franklin: That's great. That's very helpful. And then second question just on a European market. obviously you've talked about the strength and that being the primary driver of growth for Cadeler. So can you talk maybe about the specific countries within Europe that are the greatest near term opportunity And I know you announced a contract in Poland back in January that was a particularly attractive contract and you've built backlog quite considerably there over the last few years. Maybe if you can touch on that as well. Thank you.
Mikkel Gleerup: Yeah. I think that we see basically that it's of course, the North Sea region and the Baltic Sea region that is growing very fast. UK remains the leading country in wider Europe to say without offending anybody, I hope that that is the leading. But we do see around the Baltic sea a lot of activity, but also Germany and Denmark. We had a missed auction in Denmark. I would say for most industry people it was not the biggest surprise in the world. And I'm sure that, we will be seeing something pretty different in the upcoming Danish auction where we have seen the Danish government moving more to like a CFD style auction type. And I think that this is just reinforcing the picture that Europe remains very focused on delivering this and very strong growth demand continuously.
Jamie Franklin: Okay. That's great. Thanks, guys. I'll hand it over.
Operator: Our next question comes from Benjamin Nolan with Stifel. If you'd like to ask your question.
Benjamin Nolan: Great. Hopefully, you guys can hear me. I wanted to ask, Peter, you'd mentioned you had -- you guys were taking people and adding them to some of your existing vessels in preparation for the delivery of the newbuilds. Am curious, you're taking delivery and the industry is delivering quite a bit of equipment very quickly. Can you maybe talk to the availability of skilled labor and is that at all a challenge in being able to execute for the industry for you guys specifically?
Peter Brogaard Hansen: It has not been a problem for us up to now. We still have unsolicited applicants coming in from the industry and oil offshore. So in general speaking, it has not been a problem and we do not see an issue. Maybe you can add, Mikkel.
Mikkel Gleerup: Yeah. I'm happy to do that. I think that we are benefiting from many different factors at the moment where we see, let's say, skilled people coming in, but maybe skilled people from different areas of offshore where we believe that the right thing to do is also to give them the best possible preparation by having them on some of our existing vessels before we send them potentially to a new builder before they take over any existing vessels and we send some of the experienced people from that vessel to a newbuild. So it is really one of the bigger questions we get from investors. Many times it's what keeps you awake at night. And we often talk about safety by then. And in order to operate these very sophisticated vessels, training is important. And that's why we're doing it. We are doing it because we want to ensure that we are working with one safety standard with one culture on board and overall best possible preparation for what we are executing for our clients. So that's why we are doing it. So you can basically say that the reason behind it is really just a reason of caution and being prepared.
Benjamin Nolan: Okay. Thank you. And then my next question I wanted to mention, I appreciate the adjusted utilization measure that you put in there. As you're thinking about the guidance for 2025, you may be talk through what sort of is being considered or modeled in that adjusted utilization into your numbers?
Mikkel Gleerup: Yeah. We are not giving guidance on the utilization for '25. So -- but we can say that the reason that we are doing it is because we have of course discussed in the past that where we want to see the fleet in terms of utilization. But when you have two vessels, for example, out for crane upgrades, you can't operate them and hence it's not relevant to talk about that time. And that's why we decided that this time it's relevant to have an adjusted number where we can also show you guys kind of like this is just time that it's not available to us. And if we discount that, then actually the utilization was pretty good. We also made an active decision that we discussed with you guys and with our investors last year, where we said we will really do everything we can to prepare Scylla to go to the U.S. because in case we need to do any maintenance on Scylla in the U.S. it will be much more complicated and much more expensive. So again, under the same umbrella of being cautious, you can say we decided to do an extra effort on Scylla before we sent her to the U.S., and that reduced the number of days we had available. Had we not done that, we could maybe have squeezed in an O&M project prior to her leaving to the U.S. but we decided no, we're not going to do that. And the same umbrella there, you can say that on Wind Ally that we are delivering from Cosco. We are not planning any utilization on Ally before we start the rest of the project because we just want to make sure that we start that project as well equipped as early as with as much buffer as possible because that is a very important project to us that we have also discussed with our investors and clients and suppliers a lot. So we are currently not planning anything on Wind Ally prior to going on the Hornsea 3 project.
Benjamin Nolan: Okay. That's helpful. And lastly, if I could just you're speaking about the Scylla and the -- and now you'll have two assets in the U.S. Mikkel, you said that there's a real sense of acceleration in the U.S. trying to get things done quickly. Do you anticipate those assets, or at least one of those assets, remaining in the U.S. for some time in order to meet those customer needs?
Mikkel Gleerup: That is very possible. And we know that the Pace has to come back again because it has another commitment. So there's a dock dead pace on that and Pace will return back to Europe to do that commitment for our clients. No doubt there. But of course, could this continue in the U.S. for some time? Yes, that is very likely. And we are monitoring the opportunity. I think we can also say we are harvesting the opportunity because we came out from being probably the most cautious on the U.S. market to now being the ones that are operating a lot over there. And I think that that is also sometimes how the world develops. If your client has a confidence in you being able to deliver what they need in that market, then I think that you can be the chosen one. And I think that we have at least put ourselves in a situation where we're working very, very efficiently together with our clients to try to deliver what they have in the pipeline over there as best possible. But there is a lot of complexities in the market in terms of operations, and it also means that it requires a lot of effort to ensure efficient installation in the U.S. market. But we are -- if we want to support our clients there as long as we are able to protect the company in the right way in terms of terms and conditions, and that the projects on a standalone basis is good enough to meet our criteria.
Benjamin Nolan: Excellent. I appreciate you taking my questions. Thank you.
Mikkel Gleerup: Of course, Ben.
Peter Brogaard Hansen: Thank you, Ben.
Operator: Our next question is from Pet Billing from SEB. If you'd like to go ahead and ask your question.
Petter Billing: Yes. Hello. Can you hear me?
Mikkel Gleerup: Sounds good.
Petter Billing: Great. I have two questions. The first one is tax related. You mentioned, Peter, that most of your current business is covered by tonnage taxation in the UK and Denmark. Once you move into becoming sort of more of a project driven business with T&I services for the foundations, should we think any differently about taxation for your business going forward?
Peter Brogaard Hansen: No. Then that is also covered by both tonnage tax regimes, so no.
Petter Billing: Okay. Great. And the second question, again, also related to the O&M market. What do you see in terms of how developers think about utilization or using more high spec vessels compared to lower spec vessels? Also for lower sized turbines, do you see any sort of mechanic where even for smaller turbines that they prefer to use more highly spec vessels?
Mikkel Gleerup: I think what we can say is that the higher spec vessels has the benefit that they can work across different platforms and that gives an efficiency increase for some of the clients in the industry that hence has that as a priority. But I think that it's not necessarily always a choice because we tend to get focused on the turbine type and say, can this vessel do this turbine type? Yeah, obviously it can because it installed this turbine type. But it might be that the water depth is too high for that vessel, for example. So we have seen O&M jobs in the industry that has been waiting for a long time for execution due to the lack of availability of vessels with, for example, long enough legs. And that is why I argue that a higher spec vessel is always a more attractive option for the client if it is available. The challenge has really been that they have not been available. And that is also why we are arguing that the O&M space is a space that could do with more focus and more commitment, both from clients and from contractors like ourselves. Because at the end of the day, there is a rather big, let's say, challenge to solve and in overall keeping all the turbines globally spinning. And that is something that we need to work together to solve that equation. And what we are saying is really that we are committed to play our part in that problem solving together with our partners from the O&M space, OEM space, and also in the developer space. And we do see that sometimes they take a different approach to that market.
Petter Billing: Understood. Thank you. That's all for me.
Mikkel Gleerup: Thank you.
Operator: Our next question is from Asne Holsen from ABG Sundal Collier. If you'd like to ask your question.
Asne Holsen: Hi. Can you hear me?
Mikkel Gleerup: Yes. Loud and clear.
Asne Holsen: Great. Thanks for taking my question. I was wondering about the wording on your dividend comments. You say that you do not expect to make any dividend payments in the medium term. How would you define a medium term? Can you say anything?
Peter Brogaard Hansen: We define it like the second a class vessel being delivered in '26. And that is because the whole confers initially we have, there's a covenant around not paying out dividends before that vessel is delivered, but it doesn't cover the third a class vessel is being delivered in '27. So that is what we mean by that in midterm. Yeah.
Mikkel Gleerup: I think what we can say in addition to that is that the discussion around the whole topic is something that has started now together with the Board and that we think that is something that will continue and when we are ready, we will communicate clearly to the market. But it is obvious that we will be in a position at some point in time where we have the ability, for example, to pay a dividend.
Asne Holsen: Definitely. Yeah. I think I'll give off the microphone. Thank you.
Mikkel Gleerup: Thank you.
Operator: Due to time constraints, this will be our final question. Our next question will be from Roald Hartvigsen from Clarksons. If you'd like to go and ask your question.
Roald Hartvigsen: Thanks. Hey, guys. Congratulations on another strong quarter. We have seen some consolidation in the space over the last months with the key one probably being the announced Saipem and Subsea7 merger. And obviously, offshore wind is not the only market for those players today. But do you believe that merger will have any meaningful impact on market dynamics? And how do you see prospects for further consolidation in the space ahead? Thanks.
Mikkel Gleerup: I don't think it will drive anything. I think it's probably good for these two companies. I think that there's a lot of synergies between these two companies to do a consolidation and I -- we congratulate them on the efforts. I -- we have said it before that there is still some degree of fragmentation in the industry. The problem is also in the industry there is a lot of assets that arguably will not be installing for very long and hence it depends a little bit how you want to consolidate and why you want to consolidate. But I think that we are, from our side at least, very, very pleased that we were moving on the opportunity that we saw back in 2023 and successfully concluded that merger with Eneti. We believe that we have created a company that didn't have a lot of overlaps at that time. And that is the additional challenge to most of the other companies out there that there's probably too many overlaps to make it super reasonable to see how a merger would happen. So it depends a little bit on why one company wants to merger and how. Yeah.
Roald Hartvigsen: Perfect. Thanks. I'll leave it there.
Mikkel Gleerup: Thank you.
Operator: We have no further questions at this time. Thank you for your participation. I will now hand the floor back to Mikkel Gleerup for any closing remarks.
Mikkel Gleerup: Thank you. Just wanted to say thank you to everybody for listening in and spending your time here in the morning or afternoon or evening with us. Another year is now concluded, and a year is already well underway. And we are really looking forward to take on this challenge and to deliver. And, that really just brings me to really thanking the team, our investors, our clients, and partners for all the support during '24 and all what we have seen in '25. And we are super ready to take on this year and to continue to deliver on our promise. So thank you.